Operator: Good morning, and welcome to the Shoals Technologies Group, Inc. Fourth Quarter 2025 Earnings Conference Call. Today's call is being recorded, and we have allocated one hour for prepared remarks and Q&A. At this time, I would like to turn the conference over to Matthew Tractenberg, Vice President of Finance and Investor Relations for Shoals Technologies Group, Inc. Thank you. You may begin. Thank you, Karina.
Matthew Tractenberg: And thank you everyone for joining us today. Hosting the call with me is our CEO, Brandon Moss, and our CFO, Dominic Bardos. On this call, management will be making projections or other forward-looking statements based on current expectations and assumptions, are subject to risks and uncertainties, and should not be considered guarantees of performance or results. Actual results could differ materially. Those risks and uncertainties are listed for investors in our most recent SEC filings. Today's presentation also includes references to non-GAAP financial measures. You should refer to the information contained in the company's fourth quarter press release for definitional information and reconciliations of historical non-GAAP measures to the nearest comparable GAAP financial measures. Please note that the slides you see here are available for download from the Investor Relations section of our website at investors.shoals.com. With that, let me turn the call over to Brandon. Thank you, Matt, and thanks to everyone joining us on the call.
Brandon Moss: I will begin by sharing key results from the fourth quarter and our full year key wins and milestones. We will then discuss the current demand environment and review progress on our strategic growth initiatives. Dominic will dive deeper into the fourth quarter results and provide our first quarter and full year 2026 outlook. We will finish the call with questions from our analysts. Fourth quarter revenue was in line with our expectations, approximately $148 million, up 38.6% over the prior-year period. Our commercial team also drove significant growth in our book of business, adding approximately $175 million in new orders in the period. This resulted in a company record backlog and awarded orders, or BLAO, of approximately $748 million, an 18% year-over-year increase. We delivered a seasonally strong book-to-bill of 1.2 this quarter, which continues to support the growth we see in 2026. As of year end, approximately $603 million of our BLAO has shipment dates in the upcoming four quarters, or full year 2026. We are set up very well for another successful year of growth. Commercially, we are achieving our objectives of growth diversification. Profitability, however, was softer than anticipated in the fourth quarter. Our fourth quarter adjusted EBITDA of approximately $30 million grew by 15% year over year, representing 20.4% of revenue. This was largely driven by higher legal expenses, the ongoing impact of tariffs, product mix, and high labor and shipping costs in the period. As we discussed with you last year, we see very strong underlying demand drivers across the markets we serve. This, when paired with the incremental capacity we will have at our new facility, warrants a more flexible, agile approach to how we determine which projects and which customers to engage with. Opening the lens with which we look at the opportunity set to drive higher revenue in 2026 and beyond while remaining within a reasonable margin range will ultimately result in higher profit dollars and free cash flow, which will be reinvested back into the business. This approach removes self-imposed constraints, enabling us to make the right decisions for the long-term health of the business. Again, I am very proud of our performance in 2025. It was a busy but exciting year for us. After a challenging 2024, we came back strong and grew top-line revenue by 19%, exceeding our initial expectations and long-term range shared with you at our 2024 Investor Day. Our U.S. utility-scale solar business grew by almost 11% for the full year, accelerating in the back half of the year and growing 30% when compared to 2024. International revenue expanded from less than $1 million in 2024 to approximately $13 million in 2025. Our CC&I and OEM businesses exceeded expectations, and we have laid the foundation for our BESS business that is poised for rapid growth in 2026. Engaging with our customers, we introduced multiple new products in 2025, effectively expanding our addressable market and capturing additional share. We continue to diversify our customer list to include several new EPCs. For example, in 2023, we had three customers that accounted for less than $6 million of revenue. Today, those same customers account for almost $140 million of our BLAO. And we have made big meaningful operational changes as well, including our ongoing move into a consolidated state-of-the-art manufacturing facility. This will enable critical improvements to productivity and scalability as we continue to grow and diversify our business. Given the industry growth we see, it could not happen at a better time. During the year, we also completed remediation for all reported instances of the defective Prysmian wire. This effort was funded through our own cash flow and reinforced our commitment to customers that we stand behind our products and services. So in summary of the full year, we are pleased with our performance. We have come a long way in the last few years. Our strategy of protecting and growing our core business while diversifying our offering and exposure to end markets is yielding results. Our focus on improving our operating capabilities while maintaining the commercial momentum you have seen is how we intend on driving attractive returns for our shareholders. Turning to our various business lines, I would like to provide some context to our performance in the fourth quarter. The fourth quarter was another strong period of growth within our core utility-scale solar market. Our quote volume in the quarter exceeded $700 million of unique projects, adding to our strong pipeline. Note that these are projects that would generate revenue in 2027 and beyond, further supporting our long-term growth trajectory. And also related to the core U.S. utility-scale solar market, in early 2025, Shoals brought a second patent infringement case against Voltage before the U.S. International Trade Commission utilizing our new and expanded patent portfolio. While the legal process will likely continue for another quarter or two, we are very pleased that the court recently issued its initial determination in our favor. It is a great first step, and we will remain patient for the Commission's final ruling in early June. I am also encouraged by the progress we are making in international markets as evidenced by our increased quote activity and customer engagement. The products introduced in 2024 are generating interest with key decision makers, while our experience and reputation for quality is winning projects. We recognized approximately $13 million of revenue in 2025 from international projects and have a record $90 million of international BLAO, which will drive continued growth in 2026 and beyond. Our community, commercial, and industrial, or CC&I, business is performing well. We are engaged with large, well-respected electrical distributors that are driving meaningful quote volume increases. Our OEM business is tracking ahead of expectations, growing at 47% for the full year as our partner continues to see strong demand for their panels. We expect to continue in 2026 with another year of attractive growth. We began disclosing our BESS backlog and awarded orders last quarter, which at the Q3 stood at $18 million. That information was designed to provide a starting point that you can use to track our progress against a rapidly evolving market opportunity. I am excited to share with you that as of year end, we have $67 million in BLAO, a testament to the upfront engineering competencies and future manufacturing capabilities Shoals offers. We would expect more than half of this amount to be recognized as revenue in 2026. We continue to invest in scalable production capabilities for BESS. We expect our first new production line to be operational within the coming weeks. And I am pleased to announce a partnership with ON Energy, a leading developer of advanced power systems for grid-safe data centers. Together, we will address a fast-emerging constraint for AI-driven infrastructure: securing resilient backup power at scale, while enabling data centers to operate as grid-interactive and firming assets. Our partnership brings together two U.S. innovators with complementary strengths in power architecture and execution. ON Energy will pair its medium-voltage uninterrupted power supply systems with Shoals advanced DC recombiners to deliver a solution for AI data centers that accelerates deployment timelines, safeguards operational continuity, and future-proofs energy infrastructure. 2025 saw a return to growth at Shoals. Our markets have been resilient, and our competitive position continues to improve. We have entered new markets with new products, made meaningful progress on our legal actions, and began our move to our new consolidated facility. While the regulatory landscape has been distracting to many, we remain focused on executing our strategy. With that, I will now turn it over to Dominic, who will discuss our fourth quarter results in more detail and our outlook for the first quarter and full year 2026. Dom?
Dominic Bardos: Thanks, Brandon, and greetings to everyone on the call. Turning to our fourth quarter financial results, revenue increased by 38.6% year over year to $140.3 million. The increase in revenue was primarily driven by higher domestic project volume from both new and existing customers. In addition, as Brandon mentioned earlier, our strategic growth channels of international, CC&I, and OEM contributed to year-over-year revenue growth in the quarter. Gross profit was $46.9 million compared to $40.2 million in the prior-year period, an increase of 16.7%. Our GAAP gross profit percentage was 31.6% compared to 37.6% in the prior-year period, and lower than we anticipated. We estimate that fourth quarter gross profit dollars were impacted by $2.1 million of incremental tariffs and logistics costs, $2.5 million of additional labor to support new products packaging and delivery requirements, and $0.5 million of additional plant overhead expenses, partially offset by higher volumes. These items negatively impacted our fourth quarter gross profit percentage by approximately 350 basis points versus our expectations. While you have heard us consistently communicate our long-term aspirational goal of 40-plus percent gross profit percentage, we were very clear in 2025 regarding our expectations of gross margin percentage to be in the mid to high thirties. In the long run, we continue to believe that a company like Shoals, who delivers highly customized and engineered-to-order solutions, deserves an attractive return profile. But we must also balance those aspirations with the real market opportunities we have in front of us today. Part of the transformation you see at Shoals includes a renewed focus on innovation, flexibility, productivity, and the maximization of cash flow. The top-line strength we drove in 2025 and to continue in 2026 is in part attributable to a larger opportunity funnel consisting of both traditional and newly introduced products, and a more flexible and customized approach to how we package and ship our solutions. Our strategy of driving incremental operating profit and finding balance between growing the business and driving profitability is one of the most important decisions we can make. And I believe we are doing the right thing. In the long run, the scale and leverage we will get on those incremental projects will allow us to continue to invest, diversify, and grow. The flexibility to make these important trade-offs to maximize profitable growth and ultimately create shareholder value cannot be done with a focus on a single profit percentage metric. For these reasons, for the foreseeable future, a gross margin percentage of low to mid thirties will provide us with the flexibility to win new customers, deliver new products, enter new markets, and continue the transformational journey we are on today. Moving on to selling, general, and administrative expenses. SG&A was $27.3 million, which is $5.8 million higher than the prior-year period, driven by increased legal expenses, partially offset by a reduction in stock-based compensation. Please note that in 2025, we spent a combined $30 million on legal professional services, an increase of 100% over the prior year. Recall that $18.3 million 2025 legal expense related to the case against Prysmian is identified and backed out of adjusted EBITDA. While these elevated legal costs impacted our results in 2025 and will continue in 2026, they will not occur in perpetuity, and we expect them to decline in 2027. Income from operations, or operating profit, was $17.4 million compared to $16.5 million during the prior-year period. Operating profit margin was 11.7% compared to 15.4% a year ago. Net income was $8.1 million compared to net income of $7.8 million during the prior-year period. Adjusted net income was $17.5 million compared to $14.1 million in the prior-year period. Adjusted EBITDA was $30.3 million compared to $26.4 million in the prior-year period, representing 14.7% growth. Adjusted EBITDA margin was 20.4% compared to 24.7% a year ago, driven primarily by lower gross margin flow through. Adjusted diluted earnings per share of $0.10 was 22% higher than the prior-year period. I now want to provide more color on what is driving the shift in profit percentages going forward so you can understand the gives and takes, what we can influence, and what are more macro in nature. Let us start with tariffs. While our intent was to broadly pass them on to our customers, in several cases, it does not appear to be possible at this time. We estimate tariffs had a $3.7 million impact to COGS in 2025, or an 80 basis point impact on consolidated full-year gross margin percentage, heavily weighted in the second half of the year. While this issue is uncertain and rapidly evolving, at this time, our guidance incorporates a similar tariff impact in 2026. We also began our move into our new consolidated factory in late 2025. While this is a huge undertaking, the full economic benefits will not be felt for some time. There are redundancies, additional training, setup, and processes that need to be redesigned and implemented. These initial inefficiencies are incorporated into our 2026 guidance and will be reversed over time as we increase throughput and drive lean process improvement through our manufacturing organization. This was the right strategic decision that will provide the capacity we will need for years to come. As we have stated in recent quarters, our plan is to be fully operational in the new facility by the middle of this year. You are likely familiar with the three legal actions currently in play at Shoals: litigation against Prysmian for defective wire, the related shareholder class action and derivative lawsuits, and the ITC case and subsequent district court case against Voltage. The cost for the defective wire case, both in terms of legal expenses and product replacement work we have done since 2023, is shown in our filings and adjusted out of our non-GAAP EBITDA results. However, the legal expense for the two remaining actions has not been called out specifically, and so investors may not appreciate the impact or timing of them. As a result of the expected elevated legal costs in 2026 related to these actions, we will provide investors with additional visibility. In 2026, we will also adjust EBITDA for the spend on the class action and derivative lawsuits. Our communicated strategy of defending share within our core markets and expanding our reach through new, innovative products that solve customer problems has yielded tangible results. It has enabled revenue growth of 19% in 2025, and an acceleration in 2026. While they have been well received by many new and existing customers, not all are accretive to gross margin percentage. Some expand our total addressable market, which opens opportunities by increasing the value to developers and EPCs. Evolving from offering a narrow product set to a diversified portfolio that resonates with a broader customer set will take time and patience, but it is the right thing to do for our customers and shareholders alike. Operationally, we consumed $4.1 million of cash in the fourth quarter, driven by higher accounts receivable and inventory balances at year end, and partially offset by higher accounts payable and higher deferred revenue. On a year-to-date basis, we have generated $17.1 million in operating cash flow. Free cash flow was negative $11.3 million in the fourth quarter, reflecting both the $7 million impact of remediation costs and elevated capital expenditures related to our new facility. These two items impacted free cash flow by a total of $14.2 million in the quarter. Our balance sheet remains high quality, and we ended the quarter with cash and equivalents of $7.3 million and net debt to adjusted EBITDA of 1.3 times. Our net debt was $129.4 million, a slight increase over the prior quarter. Backlog and awarded orders ended the fourth quarter at a record $747.6 million, a sequential increase of $26.7 million. Backlog constitutes $326.2 million of the total BLAO, providing us with confidence that the growth projections we have for the upcoming periods can be achieved. As of December 31, $603.4 million of our backlog and awarded orders have planned delivery dates in the coming four quarters, with the remaining $144.2 million beyond that. So turning now to the outlook. For the quarter ending 03/31/2026, the company expects revenue to be in the range of $125 million to $135 million, representing 62% year-over-year growth at the midpoint, and adjusted EBITDA to be in the range of $16 million to $21 million, representing 44% year-over-year growth at the midpoint. Turning to the full year. As we enter the year with $603 million of backlog and awarded orders currently expected to ship in 2026, we remain mindful of the elements beyond our direct control. Similar to last year, we estimate the volume of projects that might be delayed out of the year as well as the volume of projects that we can still add to the calendar year. For this year, we need to also incorporate our new BESS customers and product delivery schedules that are dependent upon totally different factors than our utility-scale solar projects. As a result, our expectations for revenue is a range slightly below the $603 million backlog and awarded orders on the books at year end. We believe this range to be reasonable and achievable. Therefore, for the full year 2026, we expect revenue between $560 million to $600 million, representing year-over-year growth of 22% at the midpoint, and adjusted EBITDA in the range of $110 million to $130 million, representing year-over-year growth of 21% at the midpoint. In addition, for the full year, we expect cash flow from operations in the range of $65 million to $85 million, capital expenditures in the range of $20 million to $30 million, and interest expense in the range of $8 million to $12 million. With that, I will turn it back over to Brandon for closing remarks.
Brandon Moss: Thank you, Dominic. As we enter the new year, I reflect on where we have come from and look ahead to where we are going. The broader U.S. market appears to be extremely resilient. Our customers are busy moving projects forward, and we remain committed to meeting their needs. As we have discussed, the need for new energy supply is real. The massive investment cycle in AI and data centers combined with the continued industrialization and onshoring of manufacturing will drive load growth far in excess of what we have seen in recent decades. Solar is still best positioned to meet these rising energy needs today and through the balance of the decade. While industry growth forecasts vary greatly, in our view, sustained solar capacity additions are the most likely outcome. We are preparing Shoals to be agile in our production capabilities in a stable or growing demand environment. In 2026, Shoals celebrates its thirtieth year of doing business. It also marks five years since becoming a public company. Since our IPO, our annual revenue has more than doubled from $213 million to $475 million, generated more than $220 million of cash flow from operations that has been reinvested in the business, and we have maintained market leadership by a wide margin. We have built a company with a strong foundation on innovation and quality, and to fully achieve what we know we are capable of—transforming the company from a narrow product offering in a single market and geography to a more diverse and durable business—meaningful change will continue to occur. And today, we are in an exceptional position from both a commercial and operational perspective. The strategic plan we constructed and process improvements we have implemented have begun to yield tangible results. We have protected and grown our core markets. We have reignited the innovation engine. We are building new businesses in new markets that expand our total addressable market while aggressively diversifying our market and customer exposure. We have invested in the right physical assets, including automation and technology, that will drive productivity for years to come. And we have assembled an experienced team of business leaders that will enable us to continue the transformation of Shoals. These changes are both critical and deliberate and come at a time where the world is struggling to keep up with energy needs both here and abroad. The long-term secular tailwinds are intact and strengthening. We are very excited about the trajectory of our business and the markets we participate in. We want to thank our shareholders and customers for their continued trust and our employees for their hard work and dedication. Operator, we are now ready to take questions.
Operator: Please limit yourself to one question and one follow-up. If you would like to ask a question, please press star one. If you are muted locally, please remember to unmute your device. Your first question comes from the line of Julien Dumoulin-Smith with Jefferies. Your line is open. Please go ahead.
Brandon Moss: Hey. Can you guys hear me okay? Yes, sir. Sure can, Julien. Loud and clear. Hey. Top of the morning to you guys. Thanks, Brad.
Julien Dumoulin-Smith: So just a couple questions here to hit it off. First off, just in terms of book and book and bill in the year, just when you think about setting that bench here for top-line revenue for 2026, how are you thinking about how much you could actually book in this new environment? You guys made some comments on that in the prepared remarks. And then related here, can you comment a little bit about seasonality? What else is going on when you think about this new, you know, this new set of that you are alluding to here? Just it seems like a very conservative benchmark given what you are coming into the year with and where you are setting your full-year revenue numbers at. And I have got a I will throw you a quick follow-up on that just in terms of BESS. What is the what is the right order rate when you think about the trajectory of continue to add backlog? Pretty impressive, you know, Q4 over Q3.
Brandon Moss: Thanks, Julien. Great questions. I will start with the first. When we think about our book-and-turn business, historically, last year and even the prior year in 2024, I mean, it is reasonable to think that $50 million to $70 million in book-and-turn business is probably a pretty reasonable number to think about. And you know, what we have got to keep in mind this year is we are still in an environment where there is some level of uncertainty, but we did not see that level of uncertainty materialize in 2025 still exists in our current landscape. So we want to be prudent about our guidance. Additionally, as we have taken on new customers, you know, they have got different expectations, different project delivery schedules than we have experienced in the past. So we wanted to incorporate that in our guidance. And additionally, as we diversify our business into new products and markets, and you know, those products have yet to deliver yet, we want to make sure that we have given ourselves some room there as well in our guidance. So as it relates to the order book specifically to BESS, as we have mentioned in the past, the bookings for this particular business could be lumpy. They are large projects in nature. And we are very excited about the $67 million of backlog and awarded orders. We have effectively 4x-ed in our bookings number from last quarter. But we think that the bookings there could continue to be lumpy while revenue recognition, once we get going with our new production line here in the coming weeks, will probably be more stable.
Julien Dumoulin-Smith: Got it. So this is really just what is it about the business backdrop that you would, if you could just elaborate quickly, that gives you that pause on right as the translation to revenue this year. Is there anything about the environment in particular you want to stress, or it is just truly the nature of new customers here?
Brandon Moss: Yeah. I think it is just the nature of the new customers in our traditional solar business. We want to be mindful that they may have different project patterns than our historical customers and just give ourselves room, Julien, to make sure that that book-and-turn business either supersedes any project delays or potentially overcomes project delays. If the year materializes as planned and projects go off as scheduled, I would look for us to be, you know, at the upper end of our revenue range.
Julien Dumoulin-Smith: Yeah. That is pretty good compared here. Excellent. Thank you. Thanks, guys. Yep.
Matthew Tractenberg: Karina, next question, please.
Operator: Your next question comes from the line of Philip Shen with Roth Capital Partners. Your line is open. Please go ahead.
Philip Shen: Hey, guys. Thanks for taking my questions. Wanted to check in with you guys on the margin outlook. Dominic, you talked about this new range of low to mid thirties due to a number of reasons, new customers, and delivered new products, etcetera. And so I was wondering if you could give a little more color there. How long should we expect this level or this new range to be in place? So beyond 2026, do you think we should kind of think about this as the range also for 2027 and 2028? And then can you talk about pricing? And to what degree have you guys lowered pricing and is that a big driver of this new margin range?
Dominic Bardos: Sure, Phil. So let me start with the 2026 outlook on margin, where we have set it at the low to mid thirties. I think it is very important for us to really focus on some of the more transitory things and then also what might take a little more time to evolve. As we said in the prepared remarks, we do include some tariff impact that is expected to be absorbed by Shoals. As we saw on Friday, this is a very fluid situation. But we do have inventory that has capitalized tariff expense that will still be with us for the first half of the year. Another thing that we have been talking about is the move into our new mega facility. We expect to be moved in in the first half, at the middle of this year. First half of the year, we are moving in. But in the meantime, we do have some inefficiencies created by still operating now in three facilities during this transitional period. So that is something that is certainly factored into our guide with the lower gross margin percentage. As we talk about gaining efficiencies over time, we absolutely will have cost-out initiatives and margin-improvement initiatives going into 2027 and beyond. But I do believe with our product mix, the third component, that we have talked about introductions of new products, capturing new share and new customers that do not use the BLA product system, and those have a margin percentage dilutive issue. An example being a long-tail BLA product as an example. And we have talked about the fact that product mix is important. So I would characterize this year's margin guide as one that should see the lowest margin percentage of the year in the first quarter, and then we will start to see gain back as we start getting some synergies and get costs out as we move into the new facility and we get the scale that we have been talking about to leverage those new fixed costs. So for the short term, I think this is the right margin percentage. And I expect that 2027's margin would be higher. But we are taking off the table any discussion of 40% return in the near term. I just want to be very clear about that.
Philip Shen: Okay. Great. Thanks, Dominic. That is very helpful. And then shifting over to a comment I think you guys had in your Q1 guide. I think you guys talked about certain customers changing order patterns. Can you talk about what that is? And then also, what the seasonality or what the kind of cadence of revenue might look like by quarter for the year as well? Thanks.
Brandon Moss: Yeah, Phil, I mean, just I guess first and foremost, we believe the market is very, very strong. Do not want this to get misinterpreted as we do not have confidence in the market. We certainly do. There are very strong near-term indicators, whether it is crew counts on the ground installing solar products, tracker installations, which we follow, are very strong. And as we all know, the long-term fundamentals for energy consumption is certainly there. And that is evidenced by a really strong quarter of quoting for us at $700 million. As you know probably as good as anybody, the fourth quarter is usually a softer month as it relates to quoting and installation, and we saw a very strong, you know, very strong quarter. I think as important as anything, we continue to believe there is a strong preference for our solutions that we are providing and executing in the field. And as we mentioned in the prepared remarks, our core business accelerated about 30% in the back half of last year, and that gives us a lot of confidence. We are optimistic about our sustained bookings growth. We have had great bookings growth all year. If you think about 2025 specifically, Q1 we did a 1.1 book-to-bill, Q2 we did a 1.2, we reached record revenue in Q3 and still did a 1.4 book-to-bill, and then we surpassed that revenue record in Q4 and still did a 1.2 book-to-bill. So similar to last year, we see probably, you know, the cadence of our revenue recognition as probably being somewhere in the neighborhood of 45% in the first half of the year, moving to 55% in the second half of the year. But, you know, we feel very, very good about our book of business right now.
Matthew Tractenberg: Thank you, Phil. Appreciate it. Karina, next question, please.
Operator: Your next question comes from the line of Brian K. Lee with Goldman Sachs. Your line is open. Please go ahead.
Brian K. Lee: Hey, morning. Thanks for taking the questions. Maybe just focusing on the top-line guidance here for a moment. There is a lot of moving pieces here. I back out the kind of $35 million or six points of growth you are implying for BESS shipping in 2026. There is still a good 15% growth being implied for the core business. So can you kind of walk us through the pieces—kind of how much is coming from new markets like CC&I, and how much is international, and then how much of this is just pure market share gain in an environment where I do not think most people are expecting double-digit utility-scale volume growth in the U.S. in 2026? So you guys do seem to be out-punching your weight here a little. So if you could walk us through a couple of the pieces beyond the BESS that you already quantified.
Brandon Moss: Yes, Brian. Great question. Great to hear from you. You know, maybe I would turn your attention back to a think about our Investor Day in 2024. We identified about 30% of the market that we did not think we were attacking. We were attacking at that point. We believe that we have addressed about two-thirds of that piece of the market. And I think that is really evidenced. We had three specific customers where we did, you know, less than $1 million with that now have about $140 million of our backlog and awarded orders. So again, as I mentioned to Phil's questions, we do think that there is a strong preference for our product, and do think we have the ability to continue to outpace the general market growth in the solar landscape. We have seen, specific to you know, the different business units, we grew our solar business about 11% last year. We did see a record year in our international business, driving, you know, three projects, up $13 million. And I think what is maybe even more exciting than that, we replaced that backlog and reached record backlog and awarded orders in the international space of about $90 million. Our C&I business continues to grow rapidly. The numbers are dotted. Quite frankly, it is a small piece of the business, but we continue to see really nice growth in our C&I business. In our OEM business last year, you know, which is our J-box business, grew 47%. I do not know that we would anticipate another 47% growth here, but we do expect that business to be very, very strong. So I guess net-net, when you look across all of our business units, outside of our battery energy storage business, all are performing quite well, and we expect continued growth in 2026.
Brian K. Lee: Okay. And then maybe just a follow-up on the margin question. I might have missed the number, but Dominic, I think you mentioned something like three percentage points, maybe a little over three percentage points of tariff impact in 2025 and expecting a similar level in 2026. Obviously, that is fluid, but how much of the tariff impact is related to AD/CVD? And then if the recent sort of changes stay as advertised in the second half of the year, it sounds like you will be working through the inventory that has the higher costs and paid the tariffs. Do you get all of that back, or what is sort of the rough net math on kind of what margin recapture you could see if tariffs do relax here as we move through the year? Thanks guys.
Dominic Bardos: Okay. Sure, Brian. So the tariff question is a bit complicated for us because there are instances where we very specifically are passing through tariff costs to customers. So any reduction in tariffs would also then reduce what we are passing through. It is just a pass-through impact. There are some components where we are structurally holding on to the tariff cost as part of our cost of goods sold. And for that piece, then we would have a benefit if the tariffs are reduced in the back half. For aluminum, we still have 232s. There are still some relatively high tariffs on aluminum. But we would get the benefit of a reduced reciprocal tariff environment there. So I do not want to get too wrapped up over the timing of when tariffs will play through. It is going to be something that as we get more information, as we get guidance, I will be able to share more information in the coming weeks and quarters. But I think right now, we do not know if we are going to get a windfall repayment of tariffs. That would clearly be a lift. I would not bet the bank on that one, but it is certainly an option for this year. Brandon, would you like—
Brandon Moss: Yeah. Maybe just to provide some more color on tariffs. And as Dominic said, it is a fluid environment to say the least. AD/CVD tariffs no longer to be collected, I believe, as of today. There has been no decision on refunds, and I agree with Dominic that we have not baked refunds into our plan, and that is probably prudent not to do that. The new Section 122 tariffs are expected to begin being collected and are assessed at 15%. It is notable that those tariffs effectively are in addition to the 232 tariffs. So just so everybody understands, we would pay the 232 tariff on the metals content, aluminum specifically, and then the 122 tariffs would be assessed on top of the non-aluminum components. So, you know, while the change does not benefit our current inventory, as those tariffs have been capitalized, it does provide some positive opportunity for future imports, assuming there are no changes to what we know as of 07:43 Central Time today. So, you know, we are going to continue to be as nimble as we can in this tariff environment and focus on delivering as much value as we can to our customers.
Matthew Tractenberg: Thanks, Brian. Karina, next question, please.
Operator: Your next question comes from the line of Mark Strouse with JPMorgan.
Mark Strouse: Yeah. Good morning. Thank you very much for taking our questions. I wanted to go back to the ON Energy partnership. Just to confirm, is there anything embedded in the guide from that partnership this year? Do you have firm orders yet? And just kind of a reasonable time frame of when you might expect to see orders and associated revenue. I know kind of the conversion of that backlog to revenue is a bit up in the air, but anything you can provide would be great. Thank you.
Brandon Moss: Sure. Yeah, we have alluded to excitement over the course of the last year around this opportunity in the battery energy storage space. There is a portion of our backlog and awarded orders that is attributed to ON Energy. We are very excited about that potential partnership with them. I mean, they are a leader in building and operating hyperscale systems that, you know, specifically is serving the AI data center landscape and other mission-critical facilities. And I think what we offer in this space to them and other customers is scale and really bankability. We have built a production line that is positioned to drive, you know, ample capacity in the coming years, and we are very excited about that. As it relates to the order patterns, again, like other customers, it will continue to be lumpy. And like all of our customers, whether it be in the solar space or battery energy storage, we have got, you know, delivery schedules when we take the purchase orders, and we adhere to those delivery schedules. So once we get production started, again, as it relates to ON or other customers here in the coming weeks on our new line, you will see more consistent revenue recognition on into the year.
Mark Strouse: Okay. Great. And then just, Dominic, a real quick follow-up. Just to clarify what you said earlier about still operating multiple buildings. When is that complete? When do you fully move into the new building?
Dominic Bardos: Our current projections are for the end of quarter we are fully in this building operationally. We are manufacturing already in the building. We have all our BigLead assembly lines are all being produced here in our new 1500 Shoals Way facility. Right now on the floor, our harness lines are going in, but they are not operational yet. Our new BESS line is getting the final touches on for its grand opening here in the next few weeks. So by the middle of this year, we will be in. As we have talked about, we still have a redundant facility that would be rendered redundant this year in Plant 4. That lease does not expire until 2027. But we will start realizing operational savings and synergies in the back half of this year.
Matthew Tractenberg: Thanks, Mark. Thank you. Karina?
Operator: Your next question comes from the line of Praneeth Satish with Wells Fargo. Your line is open. Please go ahead.
Praneeth Satish: Good morning. Thank you. Maybe switching gears a little bit here. So you have talked you are seeing good success on the BESS side. Maybe on the data center BLA product that you are working on, I guess, kind of moving from prototype, beta testing, and I think the latest is kind of waiting on UL certification. So, yeah, maybe just if we could get an update on that, are you still on track to potentially launch a commercial product this year? And then is the expectation to get some meaningful sales in 2027? And just any remaining technical or customer gating items to note?
Brandon Moss: Yes. We still are on track with our data center product. Again, we have talked about revenue recognition coming probably more so in 2027 than 2026. Still getting very strong voice-of-customer feedback for that particular product, and working towards certification. So I would say the product is tracking quite well. But again, will not materially impact our financials in 2026.
Praneeth Satish: Gotcha. And then I think you mentioned the new BESS production line is going to be online shortly. I guess when this is up and running, how much manufacturing headroom do you have today to kind of support growth beyond the $67 million of orders that you have booked already? Do you see the need for additional investments in the coming years on the BESS side, or this gets you set for the balance of the next few years? And then as a follow-up to that, can you help us understand whether you would need to spend incremental capital to support the data center BLA product as we get into 2027, and how we should think about CapEx in 2027 at a high level?
Brandon Moss: Sure. As far as the BESS line goes, nothing would give me more pleasure than to invest more capital to build a second production line for that particular product. We probably do not need to do that in the near term. We have commented in the past that production line is capable of producing hundreds of millions of dollars of product, you know, and is set up for scale. We do have room, when you see our new facility, to put a second production line in effectively next to that line, you know, which can produce the same product or variation of a similar product. So we have contemplated that in the design of our new building. As it relates to the CapEx around the data center product, that product can be run—it effectively leverages our BLA patent portfolio. So you would think of the production setup as being similar to BLA. You know, as that product ramps, might we need to invest some capital to add additional BLA production lines? Potentially so. That is not an overly significant investment should we have to do that. So we are pretty comfortable with us being able to scale that business in the future. As it relates to overall capital spend, we look at our CapEx spending to decline somewhat this year. I think the midpoint of our CapEx guidance was about $25 million. We spent over $30 million last year. We are still, you know, putting the finishing touches on this particular plant. And as we have mentioned before, there is some additional investment in IT and systems architecture for 2026 and probably into 2027. But we will continue to normalize our CapEx spend in the coming years.
Matthew Tractenberg: Thank you, Praneeth. Karina, next question, please.
Operator: Your next question comes from the line of Colin Rusch with Oppenheimer. Your line is open. Please go ahead.
Colin Rusch: Thanks so much, guys. You know, can you talk a little bit about Project Honey? Timing and design related to FEOC provisions? I know they are still a little bit fuzzy, but wanted to get a sense of any sort of product delays that you are seeing, given uncertainty around some of the supply sourcing that folks may be managing right now?
Brandon Moss: Yes. Thanks, Colin. I would not say that we are seeing a tremendous amount of volatility in projects related to FEOC. There are some late point changes maybe in modules, which require us to do some redesigns and slow down releases of the projects to our manufacturing floor. That happens. I would not say it is overly predominant. As it relates to FEOC, specific to our product set, as you know, the FEOC guidance that came out was fairly limited and still is pointing everything back to the BESS content tables, which EBOS is not a part of at this point in time. And we continue to try to make it a part of those tables, but have not seen success in getting that completed at this point in time. So not a tremendous amount of volatility, Dave, related to FEOC.
Colin Rusch: That is super helpful. And then just on the energy storage product, you know, as we start to see some evolution around some of the configurations, you know, and voltage considerations folks. I am curious about how quickly you guys can adjust to some of those adjustments and how much of that is built into this ON contract. You know, as you look at the evolution of the market, you know, moving towards 800 volt, it seems like there is going to be a significant number of new opportunities, and want to just get a sense of the dexterity of the product to meet some of those needs.
Brandon Moss: Yeah. We, you know, we have standardized our recombiner line around specific amperages to handle, you know, the configurations that we see in the marketplace today. We have got a 1,200 amp recombiner product, 2,000 amp. That 4,000 amp recombiner is probably the preferred product in larger AI data centers. We 800 volts of power at 4,000 amps and are, you know, doing somewhere probably north of 3.3 megawatts. So I think we have got the right product at the right time for these particular, you know, solutions that are going into larger data centers.
Matthew Tractenberg: Thank you, Colin. Karina?
Operator: Your next question comes from the line of Chris Dendrinos with RBC Capital Markets. Your line is open. Please go ahead.
Chris Dendrinos: Yeah. Thank you. I just wanted to ask about the backlog and the composition of it. I think you mentioned $67 million related to BESS, but you know, what is the composition of, you know, maybe the CC&I products and that long-tail BLA solution. I am just trying to get a sense for how much that is kind of evolved and changed over the past year or so. Thanks.
Brandon Moss: Yeah. The CC&I product is really—that particular market you almost think of as book-and-turn. So very little of our backlog and awarded orders would be related to C&I business. It is, you know, it is a very small number. As it relates to long-tail BLA, probably more so than the CC&I business. I do not know an exact number. We would have to look at project to project, but the adoption of that particular product has been strong in the marketplace and is driving some of the new customers that we have got in our backlog and awarded orders that prefer that solution. I do not know the exact number of that off the top—
Dominic Bardos: Yeah. I do not either. Of the $140 million of the customers—the new customer BLAO, I do not know how much that was long-tail, but I do know that some customers have a very strong preference for that solution to centralize their load-break disconnect. So we have not broken down our domestic utility-scale solar BLAO beyond that.
Brandon Moss: But, you know, just to give some maybe additional context, a lot of focus on new products, whether it is long-tail BLA or harness, super jumper products, mini BLA. About 6% of our 2025 revenue was related to new products in the solar core business, not related to BESS. And we expect that number to continue to grow as we are partnering with our customers.
Chris Dendrinos: Got it. Thank you. That is it for me.
Matthew Tractenberg: Thanks, Chris. Karina, last question.
Operator: Your last question comes from the line of David Arcaro with Morgan Stanley. Your line is open. Please go ahead.
David Arcaro: Hey. Thank you so much. Good morning. You mentioned a couple of discrete margin factors as we look into 2026, but I was wondering if you could just maybe comment on the competitive environment and what you are seeing there more broadly. Is there kind of increased pressure from a pricing perspective or new entrants? Or are you seeing more products pop up in the market that you are competing against here?
Brandon Moss: Dom, do you want to take the margin piece, then I will take the competitive ones?
Dominic Bardos: Sure. So some of the margin items that we called out and are going to continue in our guide for this year are a little bit more transitory in nature. I think from a competitive pricing standpoint, we have already recognized revenue in 2025 to win new customers over. So the pricing incentives that we offered for folks to change to Shoals is not really considered an on-term item for us. That is pretty much behind us at this point. From a competitive product set standpoint, our BigLead Assembly product does face competition and has faced competition from Voltage. As you know about the findings from the administrative law judge, we have to be patient and work through that. And the IPC market, which, you know, other competitors have been competing with and will fight for scraps over that share of the business. We believe developers are more and more inclined to avoid IPCs. But that is still playing out in the marketplace. But I think from a margin standpoint and the pricing pressures, every job that we do is a negotiation. Every opportunity that we have to look at the competitive set and the quality of Shoals products, we will take advantage of that and emphasize our product quality and delivery. And then the last thing I would say on the margin side is, you know, as we build back some of the margins and have the opportunity to convert people to BigLead Assembly away from home-run solutions or other types of harness solutions, I think what that does for us is it gives us a chance to push people to a better value-driving product for themselves. Also gives us a better margin. But we need the flexibility in margins to do what we need to do to drive operating profit. And that is really where we are focusing, driving cash flow, taking business if we have capacity. Is there a reason I should not take a 30% margin job? Absolutely not. I should take it. It is the right thing for the shareholders.
Brandon Moss: Yeah. I think it is just important to reiterate we still believe there is a strong preference for our solutions and our quality product, and that is evidenced in the increase in our book of business and our outgrowth of the overall solar market. I think the commercial team is performing quite well, and the new solutions that our product team is bringing to market are being adopted by our customers. So we are very confident in our book of business and continue to be confident to grow that book of business.
Matthew Tractenberg: Great. Thank you, guys. To our audience, that is all the time that we have for questions today. I want to note that we have a very active IR calendar through March. Those events are listed on the Investor Relations section of our website. So if you are attending any conferences and you would like to meet with us, please let us know. If we can help you further, please reach out to investors@shoals.com with any questions. Thanks for joining us today. Have a great day, everyone.
Operator: Thank you. This concludes today's call. Thank you for attending. You may now disconnect.